Operator: Ladies and gentlemen, thank you for standing by and welcome to the iHeartMedia Q4 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers presentation, there will be a question-and-answer session. To ask a question during the session, [Operator Instruction]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would like to turn the conference over to Mike McGuinness, Head of Investor Relations. Please go ahead, sir.
Mike Mcguinness: Good morning, everyone. And thank you for taking the time to join us on our fourth quarter 2021 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO, and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. Please note that in addition to our press release, we have an investor presentation that you can use to follow along with our remarks. Before we begin, let me quickly cover the safe harbor statements on Slide 2. During this call, we will make forward-looking statements, including the current and expected impact of COVID-19 on the company's liquidity, financial position, and results of operations.  These estimates are based on the current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ from these expectations and assumptions, and these risks and uncertainties are discussed in more detail in our filings with the SEC. During this call, we will refer to certain non-GAAP financial measures. Reconciliations between our GAAP and non-GAAP financial measures can be found in our earnings release or in the investor presentation available on our website. And now, I'll turn the call over to Bob.
Bob Pittman: Thanks Mike, and good morning, everybody. Thank you for joining our fourth quarter 2021 earnings conference call. We're delighted to report another strong quarter and wrap up a very strong year, which we see as evidence of the progress we've made in the continuing digital transformation of the company. In 2021, we achieved a number of important milestones, both financial and operational. They reflect the success of our company's transformation into a data led digital business with important new platforms like podcasting, all built upon the flywheel effect of the scale on unparalleled reach of our broadcast radio assets, and the only unified ad tech stack in audio advertising. We believe we're poised for continued success in 2022 and beyond, and that our Q4 and full-year 2021 performance is strong evidence of that momentum. Before Rich takes you through the detailed results of the fourth quarter, I want to touch on a couple of key points.  First, our revenues continued their strong performance in the fourth quarter while driving margin expansion in both of our two key segments. Our fourth quarter consolidated revenue grew 14% compared to prior year. You may recall that our guidance was an increase of 10% versus prior year. Excluding political, Q4 revenue increased 25% versus prior year. Importantly for the first time since the beginning of the pandemic, our quarterly consolidated revenues exceeded their pre -pandemic comps with Q4 2021 revenues up 3.5% when compared to Q4 2019. We generated adjusted EBITDA of $294 million for the quarter, an increase of 11% versus prior-year, while generating $52 million of free cash flow. For our segments in Q4 2021, our Multiplatform Group adjusted EBITDA margins were 34% and our Digital Audio Group adjusted EBITDA margins were 36%, both of which represent year-over-year margin expansion.  Second, we continue to deliver industry-leading growth in our Digital Audio Group and the momentum continues. The Digital Audio Group grew Q4 revenues by 59% versus prior-year. And within that group, podcast revenue was up 130% versus prior-year and Digital ex-Podcast revenue was up 36% versus prior-year. To put those results in context, according to Magna in Q4, 2021, we significantly outperformed the podcasting industry growth of 30% and the digital ex-podcasting industry growth of 20%, continuing our trend out performance compared to the industry. In Q4, 2021, digital revenues represented 26% of total company revenues compared to Q1 2019 when they represented under 10%. And in Q4, 2021, podcasting revenues alone represented almost 10% of total company revenues, clear evidence of our digital transformation.  And in January, according to Podtrac, iHeartMedia was again the number one podcast publisher in the U.S. now with more downloads in the next four largest publishers combined. Finally, the Multiplatform Group, which includes our broadcast radio, networks, and events businesses, continues to demonstrate that it is also a growth engine for the company in both revenue and earnings. Q4 revenues grew by 9% versus prior year. And when excluding the impact of political, Q4 revenues increased 17% versus prior year. We're confident that we will reach our 2019 Multiplatform Group revenue levels and continue our growth past that point, and here's why. We believe certain key advertising categories will continue the recovery to pre -pandemic level, like auto, entertainment and retail and others like pharma continue their strong growth. And there are also new ad categories and customers that are continually added to the mix, like crypto currency players and sports betting.  We'll also continue to take share from competitors in the radio advertising space. According to Miller Kaplan, we continue to outpace our broadcast competitors and expect to continue to take share there. Looking more broadly across the media landscape, we believe that tv TAM represents an important growth opportunity for us as well. Ad-supported TV reach continues to decline down the 54% reach for the largest broadcast TV network and just 32% reach for the largest cable network, compared to iHeartRadio's broadcast radio audience, which reaches 90% of Americans every month. Broadcast radio in general, and iHeartMedia specifically is the most efficient and effective way for an advertiser to provide the missing reach in any TV centric advertising campaign. We've also developed the capabilities for our broadcast radio assets to participate in the $160 billion digital TAM through the utilization of data and view solutions, including our SmartAudio product.  Finally, within our Multiplatform Group, we expect our events business to not only recovered to pre -pandemic levels, but to grow from there, given the pent-up consumer demand for live events and experiences, and our ability to build new live and virtual events. These financial results, we're reporting today are a reflection of the continued successful execution of our strategy and the momentum of both our Multiplatform and Digital Audio Group. As recent studies have shown, consumers now spend more time with audio than they do with linear TV, and the advertisers are following that trend with an increased allocation to audio advertising.  We believe that our consumer reach, is the number one audio company in America, with a leading position in broadcast radio, podcast publishing, and digital radio, supported by an unmatched sales force and ad tech capabilities set us up to benefit from those trends in a way no other company is capable of. And we will continue to build new platforms for our brands and creators to serve consumers and advertisers using our unique assets to build a strong position in Web 3, the metaverse, NFTs, and tokens as the market opportunity develops. And now Rich will take you through more details of our earnings and a look ahead into Q1.
Rich Bressler: Thanks, Bob. And good morning, everyone. As I take you through our results, you will see the consistency and stability of our financial performances. And we believe we have the assets to maintain that predictable growth going forward. Turning to Slide 13 of our investor deck, our consolidated revenues were up 14% year-over-year, exceeding our guidance for the quarter of up 10% year-over-year. We are also pleased with our continued sequential revenue improvement against 2019, highlighted by our revenue in Q4, which was up 3.5% compared to 2019. Our direct operating expenses increased 17% for the quarter, driven primarily by the significant increase in revenue, which drives higher content and profit-sharing expenses, third-party digital costs and expenses related to the return of local and national live events.  Our SG&A expenses increased 10% for the quarter, driven by increased employee compensation expenses, resulting primarily from higher variable bonus expense based on strong financial performance and higher sales commissions due to higher revenue. As a reminder, in 2020, the vast majority of our employees did not get paid a bonus. And as a result, you'll see our corporate expenses increase year-over-year. In addition, increased headcount from the investments in our fast-growing digital businesses contributed to the increases in SG&A. Increase in both direct operating expenses and SG&A expenses were partially offset by decreases in employee compensation and other expenses resulting from the modernization initiatives and cost reduction initiatives, taken response to the COVID-19 pandemic.  Our fourth quarter GAAP operating income was a $123 million compared to an operating income of $112.8 million in the prior-year quarter. And our fourth quarter adjusted EBITDA was $294.2 million compared to $265.5 million in the prior year quarter. If you turn back to Slide 4, I'll provide additional color on the performance of our operating segments. And as a note, there are additional slides in the investor presentation on our segment revenue performance. Digital Audio Group revenues were up 59% year-over-year and adjusted EBITDA was up 65% year-over-year. Within the Digital Audio Group is our podcasting business, whose revenues grew a 130% year-over-year and our non-podcasting digital revenues, which grew 36% year-over-year. We continue to expand our Digital Audio Group margins. In the fourth quarter, they were 36%, 140 basis points improvement year-over-year, Multiplatform Group revenues were up 9% year-over-year, continuing our sequential improvement compared to 2019 and adjusted EBITDA was up 20% year-over-year.  Multiplatform Group adjusted EBITDA margins also continued their improvement. Q4 2021 margins were 34%, up 300 basis points compared to Q4 2020 of 31%. The Audio and Media Services Group revenue was down 35% on a reported basis. Excluding the impact of political, revenues in this segment were up 7% year-over-year. On Slide 19, there is a summary of our debt. At quarter-end, we had approximately $5.4 billion of net debt outstanding, which includes a cash balance of $352 million. We also continued to improve our net debt to Adjusted EBITDA leverage. As a reminder, the terms of our debt structure include no material maintenance covenants. And there are no material debt maturities part of 2026. We are continuing to actively monitor market conditions, and will optimize our capital structure as opportunities arise. In the fourth quarter, we generated $52 million of free cash flow. We also successfully executed against our previously announced savings initiatives.  As a reminder, our pre -COVID monetization initiatives achieved a $100 million run rate target as of mid-2021. And we successfully replicated the majority of the previously announced $200 million post COVID savings as well. In 2022, we expect significant revenue adjusted EBITDA, and free cash flow growth, and we would like to provide the following specific guidance. Starting with Q1, our January consolidate revenues were up 18.3% compared to 2021. For the first quarter, we expect revenue to be up approximately 17% to 19% year-over-year. In addition to being a cash tax payer in 2022, as previously announced, we will continue to have supplemental capital expenditures in order to complete our high ROI real estate consolidation project. And as a result, we expect our capital expenditures to be between $150 million and $165 million and in 2022, we expect to make significant progress towards our previously announced leverage target, approximately four times.  Bob, and I would like to thank our employees without whom this journey would not be possible. The communities we serve, and our business partners. We appreciate you joining our fourth-quarter earnings call. And now we will turn over to the Operator to take your questions. [Indiscernible]
Operator: If you would like to ask a question [Operator Instructions] Your first question comes from the line of Steven Cahall with Wells Fargo. Please state your question.
Steve Cahall: Thanks. Good morning. Rich, thanks for that outlook on the leverage targets. I was wondering if you might just be able to unpack maybe the two primary components for us. So we've got adjusted EBITDA and free cash flow generation, would love maybe a little bit of color on how we think about each of those as contributors to deleveraging this year. And then on Multiplatform, I was wondering if you could talk a little bit about SmartAudio? You talked about the tech stack that you've built. I'm curious what percentage of Multiplatform revenue or spots is being done through SmartAudio? It's probably a question I'm going to ask every quarter or so, I thought I would keep on that theme. Thank you.
Rich Bressler: Thanks, Steven. First off, let me start with the first one. With respect to our leverage target. Look, there's two pieces as you articulated in terms of driving, what we're -- objective is to get the four times debt EBITDA leverage. I think you can see we've made significant progress even from Q3 to now and throughout the full year. And I think to put that in context in terms of '21, what we've always said is the value creation for iHeart in terms of driving the equity value, that we do drive the equity value by just paying down our debt, I think we'd all agree with that, mechanically, and we've made significant progress and we intend to make significant progress again towards achieving our goal of 4.0 on leverage ratio and I think that's going to come from two areas.  Again, we haven't given full-year guidance, but we expect to get significant EBITDA growth for this year, and we expect even with becoming a full cash tax payer, and along with the capital expenditure guidance we gave today, we expect to see significant increase in free cash up. So both of those pieces moving forward. And then finally, we just add one thing to make sure is very clear. When we get to about four times as a company, Bob, myself and the rest of our independent Board members will take a step back and we'll say, okay, we've been returning value to shareholders and equity shareholders due to pay down of debt on a lever capital structure. And now we're going to take a step back and say, okay, what's the next step in iHeart's capital structure life in terms of returning equity value to shareholders. So, and one final piece, I'll add before turning over to Bob on your second question.  As a reminder, also, we have the billion 450 of [Indiscernible] that has a soft call in March and for that may come up soft call in May, I'm sorry. And I'm sure that may come up later as a question and just your rest assured we're monitoring that situation like we are with the rest in our capital structure. But that's another lever we have to pull that will create value for all our shareholders.
Bob Pittman: And then I think going to the SmartAudio question, SmartAudio continue to, you might imagine, although it's a small piece of the total revenue continues to outpace the revenue growth of the Multiplatform Group, again, indicating the power there and audio again, then that suite of services is used not only to generate money directly through the smartAudio line, but also we're finding increasingly that the data analytics associated with smartAudio or finding their way into a lot more buys and a lot more discussions with advertisers. So remains really an important focal point for us, for our future growth, not only in digital, but probably it's significantly in the Multiplatform Group as we make that inventory much more digital life.
Rich Bressler: And we are [Indiscernible] to your question in [Indiscernible].
Steve Cahall: Sounds good, thank you.
Operator: Your next question comes from the line of Steven Bossi with Goldman Sachs, please state your question
Steven Bossi: Hi, good morning. So if I could, first thanks for the commentary on January revenue growth. I was wondering if you could maybe talk a little bit more about advertising trends and activity as it trended across digital Multiplatform in 4Q and into 1Q. Digital appears to maybe have grown a little bit faster than we expected in 4Q. I'm curious if that's a trend that we could extrapolate or if there's anything unique to 4Q, maybe COVID that we should consider and then could you talk a little bit more about some of the recent trends we're seeing across your ad verticals, what verticals are over-indexing, what verticals are under-indexing, and which of those do you think are most likely to see improvement over the first half of the year. Thank you.
Bob Pittman: Well, let me hit the second part first and then I'll let Rich take the first part you have there. I think in terms of what we're seeing with advertisers is we saw some advertisers pull back some during the pandemic. Some doubled down during the pandemic. And so we've seen not necessarily an impact from the way you might have expected looking at headlines and certainly nothing like we saw first-year the pandemic. So we remain optimistic that the country and advertisers are just beginning to take all this and strike, and we're not seeing the kind of disruption we've seen in the past. In terms of cross verticals, I think we haven't broken out verticals, but I would remind you that we have no category that's more than 5% of our revenue, no advertisers, single advertising was in 2% of our revenue. So we have a very diversified revenue base, which allows us, I think as anytime you get a shock to the system within reason, we probably see a corresponding benefit somewhere else and tends to mitigate that risk a bit.
Rich Bressler: Yeah, and Steven just on the revenue trends, looking pretty much as we talked about in Q4, we really haven't seen any slow downs and the overall revenue trends. And just as a reminder, that January tends to be one of our slow months of the year. Just historically and it's also a little of war of small numbers compared to the rest are numbers which again is nothing new historically. But you see the guidance we gave up, Q1 coming out and quite frankly, I think it tied into a Bob said without specific categories, but part of the reasons we really don't talk a lot about categories is because I certain categories go down, which our job to find other categories and bring our offerings to them and find the revenue streams there. So not much to add to that.
Steven Bossi: Great. Thanks for that color.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley. Please state your question.
Ben Swinburne: Thank you, good morning. I wanted to ask about your technology platform following the Triton acquisition and integration, and also I saw you made an interesting investment in a company called Sounder around brand safety, and just how you think about the podcasting business really scaling from here beyond host spread ads to more programmatic and radio like through other options in the market. Obviously, companies like Sirius XM and Spotify are building marketplaces as well. So I was wondering if you could talk about how you see your portfolio versus theirs. And I just had one question on expenses either for the first quarter or for the year. Any help in thinking about expense growth on a fixed cost basis or whether the employee base and compensation levels in Q4 are a good run rate. Just trying to think about All the work you've done on the expense base over the years, is that now largely -- the structural changes largely done and now we're looking at more normalized expense trends going forward? Thank you.
Bob Pittman: Well let me hit the podcast question. I'll let Rich hit the expense. I think on podcast, our podcast business is really built at the end of the day on our strength as a publisher. The fact that we published and control that number of podcasts and again, it's interesting trajectory we had a -- was 18 months or so ago we were neck-in-neck with NPR, today we are -- in the last Podtrac, we had four -- we had more downloads than the next four podcast publishers combined. That kind of strength gives us a lot what we think of strength in building marketplaces. And when you say what makes ours different from others is our marketplace is not just about the technology, it's about we have the product and now we can fly the technology to it to improve the monetization of it. You're absolutely right that I think one of the big areas that people have monetized and certainly we have our host Rhett ads. As you know, we develop technology early on to be able to dynamically and serve host Rhett ads. So, they're not permanently associated with any one podcast, which allows us to again maximize that kind of revenue. And we made the Triton investment and build out our ad tech stack because it became apparent that there's still going to be a portion of the podcast inventory. We're not going to be able to get through traditional sales methods even though we have the largest ad sales group by a lot, I think in audio, that we've got the long tail of either old episodes, additional episodes, or in many cases, regional or small podcast, so we've been able using our, again, the data and analytics suite is to build our audiences and bind those across the marketplace. And again, open the marketplace up to other publishers as well using our footprint of our big published [Indiscernible] [Indiscernible] as the fulcrum point.
Rich Bressler: Hey Ben, switch.
Ben Swinburne: Quickly as a quick follow-up before we get to Rich. Just Bob, do you see that third-party publisher business as a big opportunity, it is though it seem like as podcasting scales? Obviously you can monetize your own IP really well, but there might be a big third-party opportunity as well. I was curious if you think that's a good business long-term for iHeart?
Bob Pittman: It’s an additional business, it doesn't come with the same margins that are published products do. And I think when you see the performance of our Podcast business versus others and we talking about profitability in the way others talked about it. I think you see the financial implication of that. So we're very cognizant of that. But I yes, I think there's an opportunity for us to extend and by the way, also, just a big opportunity for us to extend them to the podcast inventory that we have not sold, when we got a huge podcast we tend to sell it out, but we got a lot of small podcast, singles and doubles. We've also gotten some very big regional podcast. Podcasts from one of our personalities that happens to be big in Detroit, but nowhere else. And we've got an opportunity now to tie all those together and find money. And then when we make that sale, we have a much better margin because it's a published podcast versus just a sales rep deal.
Rich Bressler: I just want to -- a couple of additional points and then I'll go right to expenses. And for yourself and obviously the benefit of everybody on the call is I know people are wildly busy so we try to continue to put more and more in writing that I think addresses that you could take away. If you look at the investor deck that we put out today, whenever it has a chance, there's number of slides from the deck that go through and make the points that Bob talked about -- guidance to look at those in terms of, quite frankly the breadth of our podcasting of offering and our significant outperformance, not just recently, but over a consistent period of time and why we are lead there. So, I would suggest everyone in terms of going into kind of looking at those numbers because I think it should give you a lot of confidence.  There are significant out performance on the revenue side for podcasting, which again, remember we were up 130% in this quarter on podcasting revenue and I think the industry was up about 30% according to [Indiscernible] out there. The second thing I would say back to your question about Triton, we put in a slide, we've had a number of times that we've gotten good feedback on, which highlights the audio tech stack that we've build up over the years. Again, I think what's important also about all this story, it's a story that Bob and I have been telling for a number of number of quarters now and even maybe beyond a number of quarters. So there is a consistency to the story. There is a consistency to the numbers, a consistency to the growth rates, and what we're bringing down to the bottom line on margin that we need to continue to share with all of our shareholders.  Because again, I'm not sure if people have fully appreciated, this is not just 1, 2, 3, or 4 quarters, there's been a consistent core story here and we feel very comfortable with this story going forward. And finally, I thought Bob mentioned this in his opening remarks. We also put for the first time in the slide, which [Indiscernible] to answer your question we go with digital and then I think of all people you'll particularly appreciate this, is that in Q4 of this year, we had 26% of our company revenues were digital. And in Q1 of 2019, 6% of our company revenues were digital. So we have that in there. So as you guys think about doing things and modeling things out, it gives you an apron to do that. And back to your question on expenses, as we said in the script, yes, we've -- all the expense numbers we put out there. We have hit their base into the numbers and we achieved everything in Q4 of this year.  You did notice our corporate number was a little bit higher because we had full-year of bonuses this year. Quite frankly Bob articulated earlier, we didn't have any bonuses for the bulk of our team cause of the Omicron and because of COVID in 2021 and 2020. And what I would say are expenses and you saw our margins round up, I think if your people are always questioning, gee, what do you get back to the mid-30s on margins and all the -- and we show that Multiplatform for Q4 and question we always get are margins sustainable in digital in the mid-30s where most of the big digital plays have no margins. And again, we're in the mid-30s here again, I think that should have one margin point improvement over Q4 of last year, which I think people are very pleased with and so we're going to continue to focus on how to make our operations more efficient and bring the flow-through down to the bottom line that you saw, both in digital and Multiplatform this year.  So, I do long-winded answer but we'll keep our expenses. I do think it's a pretty good proxy for run rate going forward, but that doesn't take away. We're not always looking for more efficiency. And at the same we would've continued to invest in our high-growing businesses, like the ones Bob and I just spoke about, particularly on the digital side.
Ben Swinburne: Thanks, guys.
Operator: Your next question comes from the line of Jim Goss with Barrington Research. Please state your question.
Jim Goss: Thanks. A couple of them. First, I was looking at -- I was wondering if you had any significant variance in ad sales trends by market size since you cover a lot of market sizes, and whether you tend to see a lot of variance in terms of political spending since we'll be getting into that very soon.
Bob Pittman: It's interesting we start out -- unlike broadcast radio companies, we have a national footprint, we are the only one that does. When you look at our broadcast radio alone, we have a 90% reach of the country of consumers not overlap, but that's actually consumer reach in a month. And so what that allows us to do is to be able to talk to advertisers about a national footprint with local execution. So as opposed to thinking about each market as independent business units, we think about the markets as local execution for advertisers, and it varies advertiser to advertiser as to which markets they want, whether they want all markets, and we're able to also to put that together with digital podcast audiences etc,and now with our smart audio s suite of services, we're able accurate to find audiences that go through all of them and we've talked about in our tech stack with the addition of the Triton acquisition, we now have the only unified electronic ad tech platform.  And as a result, we now can find an audience and seamlessly go across everything from podcasting, digital audio, to broadcast radio. And I think that puts us in a unique position and the earlier question about our platform and how does that help us? I think probably one of the most significant ways it helps us is we're -- we've got this huge reach. We've got these big audiences across all of our product lines and all of our platforms. It allows us to stitch it all together, and for an advertiser, there's an advantage to someone who is able to seamlessly find those people wherever they are and I think that's a big advantage for us.
Jim Goss: Are you saying then that there is -- your national platform with a lot of market sizes tends to blur the distinction in trends that might -- others might experience, whether in smaller, medium or larger markets, because of [Indiscernible]?
Bob Pittman: Yeah, that's a really good point. I think yes is the answer, and I think you've began -- in the old days, people at radio would talk about local advertising in national advertising. We've talked about on the calls before that we have a strategy of any seller, anywhere, can sell anything. We built out the training for that and we built out the electronic platforms to enable them to do it and to track it, and so what that allows us to do is blur the line. We've got a local seller in Jackson, Mississippi, can tell a national ad campaign if they want to, and -- or they sell four markets to three markets, it almost doesn't matter where it's coming from. That has been -- now so, even internally, we say what's national, what's local, it gets very blurry. And I think again, we've taken focus much more of what's the ad -- who's the advertiser, what are they trying to accomplish and what's the best way to accomplish that using our assets. And we have so many platforms now.  As you point out so many markets, no one's got a reach like we do, really puts us in a unique position. And finally, when you compare the reach that three, what I would call tier 1 reach vehicles in America. It's us, Google and Facebook reaching about 90% of America. It's a pretty substantial follow up from there. And when you look at other audio players, broadcast radio, it's sort of half our size. When you get to digital, it's even lower than that when you look at a pure play, like a Spotify or Pandora. So it really puts us in a unique position, and I think we've built out both the company capabilities and our strategy based on that unique capability.
Rich Bressler: Hey, Jim, it's Rich. I might just add one more thing to above just said. And I will back this up there just said before, Ben's question. I think the other important point is at the end of the day, we are responsible for delivering, Bob and myself, the rest of detachment mean no more priority is to create value for our shareholders. And so we've been building out these capabilities we have, whether it's between the Multiplatform and the reason why Bob mentioned, and I point that out the audio tech stack, which is highlighted. I think the reason over Triton, our investor deck. I think the reason why it's important that we mentioned for context what digital was part of the overall company's revenue in Q1 and what it is today. Again, all that is context to say, okay, we identified investing in digital. We are identified podcasting following the consumer, following the advertisers.  And then I think we've just consistently put some pretty significant increases on the board and expect to continue to do that going forward again, we didn't give specific guidance, but we did say, if you look back to what we said in the earnings remarks a few minutes ago, substantial growth in revenue, substantial growth from EBITDA, substantial growth in free cash flow, substantial improvement to getting. four times which by the way, the leverage ratio is a data point for what I said earlier, but all the pieces that I talked about, how do you get to the revenue good expense for generation and free cash flow manifests itself into that accelerated rate of getting to four times. And like I said, one of the reasons you will never hear us talk about different categories or individual advertisers, all by the way, big and small markets, because the companies call that one and then there's only one stock that's there, which is the iHeart stock. So great question out there, but I just want to make sure we bring it all back with one focus and mission we have is to create value here through all these pieces that we're talking about.
Jim Goss: Okay and thanks. Come from our quick -- one quick one. Networks and broadcast radio tend to track one another pretty well. Networks lagged a little this quarter relative to the radio group. You might say why that might have been the case. And secondly, you mentioned more time spent with audio than with linear TV, which I think you've said a number of times in the past. When you talk about linear TV, does that partly reflect just the shift to streaming and how would it compare to all TV viewing? And then the other issue with radio has been time spent listening, which tends to lag by quite a bit. And maybe you talk about the trend there too.
Bob Pittman: Sure. Look, on our broadcast radio, let me start with that. We get about 30 minutes a day of listening. That's more than social, that's more than -- that's more than search, so it is quite significant and I think from a macro picture, this company, we don't really have an audience issue, what we have is monetization issue and that's really where we focused our resources. There are many like TV business, if I were there I'd worried about what am I going to do with this lost audience. TV usage has not probably gone down much, but it's switched to non-ad supported viewership, people are watching the streaming services and subscription basically, all drama, comedy, scripted stuff has moved over there, leaving mostly reality and sports on ad supported TV, and I think as we look at our unique position, I think we see opportunities that others don't. Going to your point about networks. We are -- and the Q4 premier network was down just a little bit, but our total traffic and network was up. So we see some are up, some are down. I don't think we think networks tracks exactly our broadcast radio because we sell it a different way and it's going for a different audience and has different characteristics to them.
Jim Goss: All right, well, thanks very much.
Bob Pittman: Thank you.
Rich Bressler: Thanks.
Operator: Your next question comes from the line of Dan Day with B. Riley Securities. Please state your question.
Dan Day: Morning, guys. Appreciate taking my questions. Once again, great job on the podcast side in the quarter. I Just -- I think all eyes are going to be on sort the growth rate. It's going to be hard to continue to grow at a 100% plus quarter-over-quarter or year-over-year rather. So I guess just that if you had to isolate maybe one or two factors between CPMs, rising ad fill rates, more creators choosing to join the network, something else maybe, I guess, what -- which of those do you think is going to be most important here in driving the incremental podcast growth in '22 and beyond and then if you could just give us anything to try to frame up what that growth rate might look like. I'd appreciate it. Thank you.
Bob Pittman: Sure. I think, look, at the end of the day we got a flywheel effect going of being the number one podcast publisher and when you get this kind of lead in terms of the world -- if you've got a great podcast idea, you'd probably come to the leader first to see if they can do a deal, and we probably do almost any deal that makes sense based on content or economics. And if we don't do the deal, it's probably because the economics don't work and we're delighted for it to go somewhere else. And by the way, if the economics don't work for us as the one podcast publisher, they're certainly not working for anyone else and we don't want to get in the business ever that slippery slope of profitless prosperity. We're not willing to do it. Margins are important to us and profitability is important to us. So we continue to start there and I think in terms of profitability and how we keep it going. One, is we increased the number of podcasts we do. Two, we improve the performance of our biggest podcast.  I mean, you look at how many of our podcast have a million plus downloads, you see that growth trend as well. Three, we're experimenting with different kinds of ad products that can go into the podcast. You're exactly right, I think the podcast industry as a whole is adding more inventory. It's very, very low compared to what we see in radio. There is, of course, the long tail, which we get at two ways. We get at it through having any seller anywhere, selling anything including podcasts now, which gives us by far the biggest sales force selling podcasting. But we also, as we talked earlier, the tech stack and the investments we made in terms of being able to get at that long tail, inventory begin to sell audiences in addition to titles becomes very important. We have huge titles, whether it's from the NFL, or Will Ferrell, or Shonda Rhimes, or the biggest now black network product with the black effect with Charlie and the [Indiscernible] as our partner there that we've got so much we can do, but we've also got audiences.  So, when we're looking for specific audiences, we can find them now on podcasting, we can also linked them to digital audiences -- digital audio audiences, and link them to broadcast audience as well, providing a scale on top of the podcasting. So I think all of those things contribute to the growth and it's interesting -- the podcast usage just continues to increase in America, it is surpassed the reach of the big streaming music services like a Spotify or Pandora. And continues to grow. So we -- the question is, will it one day have the same kind of reach as broadcast radio? I don't know, but I, certainly think it's got that kind of engagement and got that kind of popularity. So we are both fueling it and benefiting from it.
Rich Bressler: What I'm just a couple of points. One, you talked about in terms of the growth in the numbers just to remind everybody yesterday, we were up a 130% in Q3, I will start in Q4 and I think Q4 is a critical indication that whether it's our company or anybody else you should look at Q4 to give you confidence as you go into 2022, so it's not even like we just changed the page and is different date out there, but just a reminder, we were up 148% for the year on podcasting. It wasn't just the 130% for one quarter. It is a -- am going to keep using this word again, again, again -- it is a consistency and predictability to our revenue growth and bringing things down to the bottom line. That will be great that investors continue to focus on. The second thing I would say, Bob highlighted in terms of yes, you can drive all the podcasting revenue in the world, but you don't have the sales force and the efficiency to bring it down to the bottom line.  And again, if you look at our margins and look at our conversion ratios for both Digital and Multiplatform, I think you'll see that we've said this is a great business in terms of generating value on incremental advertising revenue dollars and we demonstrated that again. And then just last piece on how much in terms of the pool of money that's out there. If you look out 4, 5 years and you look at whether it's Pricewaterhouse or [Indiscernible] or eMarketer because there's so many people doing projections. And I'm not saying take any one projection, because we don't take any one projection, but they've pretty much called us around $3, $4, $5 billion podcasting pool of revenue, which I think is up from about north of it varying again, U.S. advertising dollar podcasting revenue from '21. So whichever number you believe or whenever you think that pool money gets there, it is -- I think we can all agree, it's very significant growth going forward.
Bob Pittman: And let me add one more thing, because we didn't highlight it in the call but I think it's worth noting is we're increasing our share of the podcast revenue pie. In addition to the pie growing, the second vector for us is increasing our share of it. And that our performance based on the MAGNA number gives you a pretty clear indication of how we're doing that. Although we haven't given guidance for podcast revenue going forward, we have that we intend and we expect to continue to increase our share of it so we do get that flywheel going as well. And finally in terms of some comfort about the growth of podcast revenue is look at the engagement numbers. Almost anyone you want to look out, whether it listening to the whole thing, how long they spend, how many episodes they now listening to, is clearly that's engagement that the advertiser is very interested in because messages get [Indiscernible] and the impact this great. And indeed when people are measuring the impact of advertising through podcast, it's pretty dramatic too. So I think all of those things give us confidence that this is a great growth area for us, both in terms of the marketplace for podcasting growing, and also our vector for growth, and in both in terms of product and in terms of monetization.
Rich Bressler: With that, we'd like to thank everyone for the support, from taking time today to listen to the iHeart story. Bob, myself, Mike McGuinness and the team are available for follow-up questions. And we're always see you around again. Thanks for the time and support.
Operator: Thank you for participating in today's conference call. You may now disconnect your lines at this time.